Daniël Pretorius: Good morning, everybody. Thank you very much again for taking the trouble to come in and listen to our presentation of the results for the quarter ending September 2013. We will again, as we have done now for the last few reporting periods, compare this quarter with the comparative quarter in September 2012. That’s pretty much because of cyclicality of our business that we’re in and that we seem to have a recurrence of the events that impact on the business in clearly distinct cycles. We will be referring to a number of future events, so we also ask that you take cognizance of the disclaimer.
 The key features for this quarter. It was very much a quarter of transition, a quarter of implementing new technology. By and large, we had to scratch around a little bit for the good news this quarter. Thankfully, we managed to get a wage settlement for the next 2 years, and a half decent one I would to suggest, at the lower end, I think around 7.5% Barry, the higher end 10%. The higher end meaning with the 10% was for employees in the lower categories, category 4 and category 5.
 And that is something that we have factored into our budgeting process pretty much from the word go. We do have budgets during May and June and then present them for approval in August. And in order to get to more or less an all-in increase on labor cost salaries and wages of around about 8%. We took a bit of a tempering towards the higher end, so the senior management of the business taking a slightly lower increase this year as are the members of the board, not much lower but because I think of the fairly high -- big difference in wages on either side in salaries. Small sacrifice at the higher end actually enabled us to achieve the 10% increase for the lower end.
 We’re also right in the middle of -- well, hopefully towards the tail end of the commissioning of our floatation and fine-grind circuit. Charles is here today to take you through some of the more technical aspects of the commissioning of this circuit. It is a circuit that as we get the various components of it to work to specification that the assumptions that initially supported the allocation of capital in our decision to undertake this venture, that those are undertakings are increasingly being met.
 We’ve encountered a number of delays especially around the milling circuit. It’s all technology dealing with new processes, and we’ve had 1 week delays, 2 week delays etcetera in order to make sure that we get these things sorted out. I think the encouraging thing though is that we have yet to come across a fatal flaw in the process in either the design, or the metallurgy or just the process flow. And we’re running out of opportunities for fatal flaws, because the only 2 components that have yet to be fully commissioned, Charles will tell you is the 1 thickener and then the elusion plant. And there we’re not going to be relying on any new technology or any new configuration. It would really just be the same technology but just in a slightly different scope.
 So we’re hoping to be in a position to report stable operations by the end of this quarter, through the half-year end, and then full financial benefit and upside during the first quarter of the second half of the year or the third quarter.
 Gold production. As a consequence of the bottleneck that we had experienced in this circuit and with a lot of the cream being taken off the top, our staining circuit was down 6% to 33,500 ounces. Volumes though were very good, and when I take you through the volumes later on, you’ll see that we’ve actually managed to deliver quite nicely into the volume requirements of the business. And then the operating profit was down to R 72 million, down from upward of R 100 million, R 150 million odd I think last quarter.
 All right, so here we deal with the volume trends. As you could see, volume ultimately up. If you look at the business, the business is really consists of three components that have to work together in proper alignment. It’s got to be fully synergized, integrated process like a -- I can’t say ballet because miners don’t do ballet, do they? But then again maybe we don’t do that mining -- that much mining anymore. There you could see the volume flows really good. That’s the first part of the business, is making sure that the tonnes actually get to the plant.
 The second part of the business is the metallurgy. Making sure that the gold that comes into plant, that as much of that as possible stays behind and eventually ends up in the smelters. And then the third part of the business is disposing of the tail, making sure that you get your residues up on to the trailing stem. And in interruption in any one of these obviously ultimately because of the volume flow, the economies of scale because of the sensitivities, impact on production. On either end of the business we had good business, good operations.
 Volume flow was good, disposal of residues was good. It was that portion in between where we had to deal with the implications or the impacts of the new circuit. Yield was down 14% quarter-on-quarter compared to last year. Let’s talk about -- to an extent this is also attributable to the fact that City Deep where they’ve been some remnant cleanup relatively high grades. We’ve seized smelting operations because that is now being phased out of the circuit as well. I think that shortfall is intended to be made up with the better recoveries coming out of the flotation/fine-grind. And there was supposed to be a bit of overlap between those 2. So some of the higher grade materials were depleted with the circuit that dealt with that was phased out and this would probably see bit of a recovery in the yield grade going into the next quarter.
 So as a consequence of those two factors you could see that the gold production was lower than what it had been for several quarters. I don’t have that average performance that I had in my previous presentation which indicates that that in the last, I think 8 or 9 quarters, we’ve only had 2 instances where there was a deviation greater than 1 standard deviation in average production over the last few quarters, but this is probably going to get fairly close. And once again it is coupled to or linked to a specific event.
 The first deviation which was a negative one was in July of last year when we phased out Crown. The second one was in December of last year, January of this year when I think the lag finally came through, and that was a deviation on the right side, on the other side you could see this one here. And then this one is probably going to be, if not greater than the standard deviation pretty close to that.
 All right, so Craig will take you through the financial indicators, and Charles will then also deal with some of the technical aspects associated with the fine-grind circuit. 
Craig Barnes: Thank you, Niël. Good morning, ladies and gentlemen. As Niël mentioned, the transition to the flotation and fine-grind circuit has obviously had an impact on our numbers. And although expected, unfortunately it’s been quite a while since we’ve produced results like these ones returning to headline last -- I think it was since probably September 2010, but as I said, anticipated with a strong decision into the new flotation and fine-grind circuit.
 Operating margin, as you can see dropped quite significantly in this quarter. If you compare it to the 2013 -- the September 2012 quarter sorry, you can see that we had operating margin of 32% back then and we are now sitting at 13%. Our all-in sustaining cost margin, which is a fairly new measure. You can see most of the mining companies since -- especially the gold mining company since the last quarter have been presenting all-in sustaining cost margin which basically shows -- it basically includes all your costs, including corporate costs and sustainable capital which I think is a better indication of exactly what margins the company is achieving at obviously the current gold prices.
 You can see there as well for the first time as I mentioned since 2010, our all-in sustaining cost margin decreased to, in fact a negative number of 2%. Our EBITDA however was still positive, even though we had the impact of the flotation and fine-grind circuit and also the lower gold price this quarter, and then also the higher costs that we saw coming through for wage increases, electricity cost increases and also 2 months of winter tariffs during this quarter.
 Free cash flow, which is an important number that we keep track off, obviously impacted by the capital that we’re still spending on the flotation and fine-grind circuit as well as obviously the lower production and higher costs that we saw coming through in this quarter.
 Headline earning per share, as I said it’s been a while since we showed a negative number at loss of 3 cents per share compared to the previous or the quarter, September 2012 quarter where we had a 20 cents headline earnings per share number.
 On the financial statements, there is some things I want to highlight on the income statement. You can see that our revenue was down 8%, obviously due to the much lower gold price in this quarter compared to the September 2012 quarter again, and the 6% decrease in gold production. Net operating costs, up 17%, but what would have impacted those is obviously the higher volumes which Niël mentioned that we achieved, those were up 9% compared to the September 2012 quarter. And then also the annual cost increases in wages, electricity costs and also other consumables that we use in our processes where we’re seeing some pretty steep above inflation increases. That left us with an operating margin, still positive R 72 million, and down quite significantly from the R 174 million in September 2012 quarter.
 You can see that our net finance income was actually a loss, that’s basically the finance costs on the loan notes that we have outstanding. The September 2012 quarter, the comparative quarter that included a dividend from Village Main Reef of R 26 million, so that explains the difference between those 2 numbers if you’re comparing year-on-year.
 Okay. Just on the balance sheet. You can still there -- you can see that we still have a very healthy cash position of just over R 330 million which is obviously going to help us, see us through this transition phase that we’re going through with the commissioning of the new flotation and fine-grind circuit. And I think what also makes our balance sheet quite a healthy one is the fact that we do not have significant debt on our balance sheet. We are sitting in roughly at 10% debt equity ratio which is fairly conservative.
 And as I’ve noted there, we have R 165 million in total of borrowings on our balance sheet, of which R 20 million was actually repaid now in the next quarter, in fact at the beginning of October, beginning of this month, and further R 70 million or R 72 million odd is due to be paid towards the end of this financial year. And then we’ve also provided for our dividend of R 54 million which was in fact paid now in October month.
 I’m going to hand you over to Charles now. He is going to take you through just some aspects of the flotation and fine-grind project. Thank you very much. 
Charles Symons: Thanks, Craig. Good morning, ladies and gentlemen. What I’d like to do this morning is really just to give you bit of an insight into the fine-grind project. I’m going to just deal it from 4 - sort of 4 segments. The first being just the rationale that we use originally when we embarked on this process; then to give you a little bit of insight into where we are in the -- I’ll describe the flow again. And for those that haven’t heard it, I do apologize beforehand, to just give you sort of general understanding exactly where it is will be coming from, where we are in the process itself and then looking towards to where we’re going to find ourselves going into the future.
 As you can see from the slide that I’ve got up over here, there is a photograph of the flotation building that we inherited from Anglo when we bought the Ergo plant. And this was part of the capital project that we -- or part of the capital that we used was to refurbish. There are 6 banks of flotation cells and this is where the bulk of the work is done. This is now all being commissioned and is ready to run.
 To say the rationale behind why we embarked on this. For those that have been around and watch the Ergo story since we started, I think you can remember way back in the early days when we first started up the operation with the feasibility study that we presented for starting up the Ergo operation took into consideration things and certain aspects with regards to how much tonnage were we going to feed, to how much cost were we going to use, how many people we’re going to have, what the head grade was going to be.
 And if you recall, that most of these parameters we met quite well and we were very happy with. The one that unfortunately was, that we didn’t achieve was the average yield that we were looking through from the Elsburg material. That then resulted in a think tank with instinct of our technical team to go and investigate and see exactly what it is and if there is any opportunities for us to be able to extract more gold.
 We were getting the tonnage into the plant. It was -- it made a lot of sense that if we could take more of that gold out, then it would just improve the overall profitability of the company. This is what we did. And some of the sort of findings that we found was that, sort of between 30% and 40% of the sulphide-associated gold was lost into the final residue. And only about 45% of that gold associated with the sulphide was actually being extracted.
 So what we said was, well if we could remove the sulphides and then just target the gold that’s associated with that, we could increase our extraction efficiency. We then also did a lot of work with electronic microscopes to go and have a look, to see exactly where that the potent to the gold was, where it was actually situated. And in the form of an amalgam called electrum, we found that large particles of the gold were extremely finely encapsulated inside the sulphide particles as fine as down to five microns. We then said, well, look if we can extract, if we can liberate that particle, we can then subject it to cyanide and we’ll be able to then extract that gold.
 We then, obviously the milling -- it’s not a new process. This was a thing that had been in the past. So we looked around to see if there was a milling operation that we could do that could get down to those fine-grinds. For those of you that follow other mining companies, you’ll know that a normal milling operation is measured in 80% passing 75 micron. We’re looking at 80% passing 20 microns, that is what, so there is a lot finer -- the product that we need to look at.
 If I can then just take you through to what the rationale was and how the operation actually is made to operate. You can see that the flotation circuit which was at first line that I showed you, we were looking to take 4% of the mass of the total volume coming into the float plant, would contain about 40% of the gold. The balance which is the 60% of the gold into 96% of the mass is the tail as we refer to it. That would go through into the CIL plant as per normal and we would then concentrate on the concentrate which is the pyrite.
 And this, for those of you who haven’t seen it before is how the -- what the flow looks like. From the flotation plant, that concentrate, the 4% mass, approximately about 70,000 to 80,000 tonnes a month, that is then subjected to a milling circuit which are very sophisticated mills that we have found. It’s a vertical stirred mill with beads in it that grind the pyrite particles down to a target of 80% passing 20 microns. From there, it’s got its own dedicated leach, where the cyanide and oxygen is added and then it goes into a CIP, the loaded carbon is then eluted and the gold is extracted in a separate circuit. The balance, the other 96% of the material follows the normal route into the CIL, and that is what we have been doing. So the gold is loaded onto carbon, the carbon comes out and it’s eluted and then we get - so we’re going to land up with 2 lots of gold coming out of the same smelter, which is going to be able to allow us to be able to monitor it very, very carefully exactly how this process is actually working. Okay?
 So if we have look and just see where have we actually got to so far in the process. Basically, if you look at -- what I’ve done there is just given you 2 columns, the 1 is the feasibility study and then the other 1 are the actual results that we are starting to see on the plant itself. You’ll see in the bottom half that there is certain information was not available yet, because those parts of the plant are either not working because they’re still under construction or they haven’t reached any degree of stability.
 So you can see that from the numbers that are quite a bit of the feed grades were pretty much in line with what we expected when we did the feasibility study. The mass pull is slightly lower, which is not a bad thing, but it is something that we’re working on. The overall recovery of the gold into the concentrate is almost on par at this point in time. You can see the concentrate grades. There we were looking at about 3 grams a tonne; we’re getting something just over that, 3.6. The float tails are slightly higher, but we’re going to be working -- we will be reworking on that to up that. If you up the mass pull, we should be able to pull more gold out there which will drop that tail.
 The throughputs as they are at the moment, is fine. You must remember that we have got 3, that the 3 float streams, each have a thickener at the back-end of it, those of those thickeners all currently in operation. The third one is still under construction. So although the float banks are ready to be able to run, the reception area is ready to accept all the material. We can only float between 1/3 and 2/3 of the material because of the thickener capacity. One float bank feeds a thickener and so we have to wait for the third thickener to come online before we can actually start the float up completely, all right.
 So that’s where we -- so the tonnage that we are getting through those float streams that we are running at this point in time are going quite well. Now the concentrate. Now this is pyrite that we’ve now floated out, we’ve melt it, that that we are targeting to get an extraction efficiency of about 75%. At this point in time, that on a circuit which is nowhere near reached any sort of degree of stability, we have seen that we can get up to 70%, sometimes slightly higher than that, but this is where the next sort of step and all the concentration is going.
 The fine-grind. Again because we haven’t got the mills completely optimized, we’ve got different beads that we’re feeding into these mills and there is still a degree of optimization that’s going to take place here. We also have to wait until we’ve got the full tonnage coming in before we can actually reach some stability there. We had some feed related problems in the design earlier on, which set us back a couple of weeks which resulted in pumping problems. These engineers went back in, made changes to the circuit, the feed arrangement, there was entrapped air, we got rid of that and the process is now running quite nicely.
 But unfortunately, at this point in time the overall recovery that improvement of sort of between 16% and 20% overall. We’re not going to be able to see that until such time as the whole circuit is stabilized and then we’ll be able to really start understanding exactly what the process is doing.
 So if we just have a look at the thing, I think I’ve mentioned most of these points already is that the 3 streams are operational, 2 are running at any time. The mill, 3 of them are currently running, the fourth mill has been commissioned, it was commissioned on Friday. So it is ready to be able to run. The current leach circuit is fully operational, although the CIP section on that is the pump cell plant. We are putting loaded carbon in there at the moment, but from an operational point of view, it’s actually quite messy and it’s difficult to stabilize. We have to wait for the elution plant to be completed and then we’ll be able to get the greater stability there.
 So, the elution plant and the final thickener. Those 2, we’re expecting within the course of this month and into November, that those 2 are going to come online. And then we’ll have everything completed. There is going to be couple of teething problems getting these pieces of equipment up and running promptly and then we’d be able to start getting into the real work and that is to get the stability and the gold coming out at the end.
 I think that says basically everything that I’d like to say with regards to the actual fine-grind circuit at this point. Okay. 
Daniël Pretorius: Thank you, Charles. So looking ahead, at this point in time, really just a 1 liner. We are looking at several things, but the only thing that’s really, at this stage, capturing our full attention is to get this new circuit fully stabilized. We would like to see some of the upside of that coming through towards end of the quarter and definitely by the start of the next quarter. And then hopefully we could start delivering to the expectations that we had created with the market.
 Obviously the temptation was there, later in the previous quarter to maybe delay some of the commissioning maybe not run the float at full capacity, full capacity at the time and rather give yourself 3 months within which to stabilize and maybe recover, and not use up the last bit of the quarter to capture some of the gold that otherwise they would gone into CIL, but we decided against it. We decided that instead of manufacturing results or manipulating the process in order to manufacture a set of results by delaying components of the plant, we would just go full steam ahead so that we can get this thing up and running sooner rather than later.
 So that’s the results. We will obviously take questions. Before we do though, this is the last time, as Martin is not here unfortunately. Is there somebody from Martin’s office from Creamer Media? There you are? Hi, Ken. So Martin called myself and Craig, Tweedledee and Tweedledum because we’ve been together for the last 8 years as the Chief Executive and the Financial Director of these operations. Now 1/2 of that partnership has decided to move to Perth full-time next year. And I thought that it’s only appropriate that we will just maybe remember some of the things that Craig has done in the last few years and then also wishing the best for the things that he is going to do. Craig joined DRD the year after I joined. I joined in 2003. He joined in 2004. We had a very interesting financial director at that time.
 The only 2 things that I think he did at the time which was worth remembering is he appointed Craig and he appointed Stephanie, my P.A.. Other than that, I think we want to really forget the fact that he was there in the first place. But Craig then -- when our previous boss decided on this bifurcation strategy of establishing the business in Australia and another one here with Emperor on that side and DRD SA on this side. Craig agreed to take up the position of Financial Director or Chief CFO of the DRD SA leg. I think ultimately the objective at the time was to have 2 completely separate entities, 1 listed here and the other one listed in Australia.
 Obviously that changed later on with John Sayers coming on board and the sale of Emperor. But since then I think it was around about 2006, Craig, that the 2 of us been working together in our current capacity as the MD and FD of these operations. And it’s been an interesting ride. I used to -- it hasn’t been like that in the last few quarters, I must admit, but initially I compared it to being -- I don’t know if it was rodeo clown or bull rider but it definitely has something resembling the rodeo sport except that there was no 8-second rule and we got thrown by those bull so often, but we just had to get up every time, dust ourselves off and get back on the bull.
 And then I think we more or less tamed this bull. It’s not jumping around as much as it used to. And we actually get through every round with a measure of success. So Craig was not just my partner in looking after the accounts, but very much also a part of the strategic planning of the business, both inside of his own portfolio of looking after the financial affairs, making sure that good governance was never compromised. There was never any suggestion on accounting treatment or any of those rules, reporting into the market. I think his attention to detail was pretty similar to what we see in our plant where things are measured up to the third decimal.
 Always there to take the inside pass, and very much situation and if you’ll forgive the sport analogy of ending up with being able to pass without really looking, because he was always in a position. So for us I think for DRDGOLD, it is a setback to see Craig go, because it became such a -- I think a dynamic but also very convenient relationship but then he is not leaving behind a vacuum. I think 1 of the marks of a good leader is the fact that you appoint people who are more intelligent than yourself. Now I’ve yet to be convinced that the people that you have appointed are more intelligent than you, Craig, so we will put them to the test, but they are certainly very, very competent and I’m sure that we will continue to have good governance in the finance department also in your absence.
 And then I mean we all know Perth is just a few hours away. Somebody did mention to me that you’ve got to be careful if you move your family to a new place, they end up less than one generation after that move to adapt a new culture. So with Perth being what it is and having become what it is over the last few years, your 2 girls might end up speaking only Afrikaans, so you’ll have to look out.
 But certainly from DRDGOLD and I am sure all of our investors, we’re very grateful for your contribution over the last few years and we wish you the best of luck. And I’m convinced that you’ll continue to make a big difference and have a big influence wherever you go.
 Before you do go though, there are some difficult questions that you have to answer because this is not our best -- this is definitely not a spectacular set of results. And I think to allow you to answer as many of the question as you can. So thank you very much. The floor is open for questions. 
Adrian Hammond: It’s Adrian Hammond, BNP. I have four questions. The first one is for Charles, and then I’ll move on to you Niël. Charles, just thanks very much for the detailed overview of the new ultra-fine grind. We’ve spoken of head grades, problems at city there with sand coming off and going on to slimes. So on one hand you’ve got head grades falling and then on the other hand you’ve got this new ultra-fine grind circuit with potential for an increase in recoveries. If this circuit performs in line with what you expect, what can we expect net from production? 
Charles Symons: We target the average yield is going to stabilize, so around about between 0.19 and 0.2 in that sort of ballpark. [Indiscernible] just in the order of between 380 to 400 milligrams of gold. Problems with the feed stream, at this point in time, [Indiscernible] that the grades are going to start dropping off [indiscernible]. But ultimately the grades do drop off and maybe either have to cut the volumes a little bit more or go in search of higher grade materials [indiscernible]. 
Adrian Hammond: Thanks. And my next question for Niël. The cost you have now, all-in cost and more importantly your sustaining costs are above the gold price. What can you do to cut costs and if you -- or can you cut costs and what you plan on doing about it? 
Daniël Pretorius: I think what you’re seeing is unit costs, and obviously unit costs go up in proportion to the drop in kilos. So because we came in way below the average production, the unit costs were probably, I wouldn’t say artificially high, but a lot higher than what a stabilized circuit would offer. So I think once we starting the hitting the anticipated targets production-wise, those unit costs are likely to come down. Look, you’ve always got to be very mindful of your costs and not just saving costs at the lower end but also savings costs at the higher end.
 And I think we’ve been very disciplined in managing costs both at the operations and also at corporate. The corporate costs I think over the years have been either stable and in fact have also come down a bit. We had to invest in additional skills last year and we actually increased one particular components of corporate, the skill set there quite significantly or the resources that bear with our disposal, they are quite significantly, because ultimately the best counteract to increasing costs are better efficiencies.
 I am personally not very much in favor of increasing volumes because as it is, managing 2 million tonnes a month is a lot. It’s a lot of material that you move and then sometimes we do these little exercises just to say, well if these are little buses or normal size buses and you park them in a line to Durban and back in how much of that do you fill up, or how much space do you fill up. And you get to Durban and back in a very short period of time. That’s a short of volumes that we’re dealing with.
 So optimization ultimately of the process, I can assure that we get as much gold out as we possibly can, that I think for us in the longer term is going to be the biggest defense strategy against increasing cost, and that’s why we spent money on some additional skills in the corporate office. But I mean you can’t just wait for that to happen, you’ve got to be proactive. And we will certainly be looking increasingly, once we’ve got a stabilized circuit, and we’re talking January/February, we will definitely have another look. We’ll take a long and a hard look at exactly how much do we have deployed where and how much is it costing us. Do we have redundancy anyway? Do we have overlap in anyway? Have we really organized the resources in this business in such a way that they are optimal and that we’re not overspending.
 And even within the ranks of the senior executive. You’ve got to start looking increasingly whether the skill set is proportionate to the amount of money that the company is investing in having that set of skills available. So we’ll definitely do some in-depth introspection in the next few months. Before we do that though, there is the looking-forward statement, that is what we’ll be foremost in our minds through to December.
 I am confident though in that, the model is not one that we just plucked out of thin air overnight because we needed something to impress the market with. This is a model that had evolved over a long, long time. I recall in September of 2008, when Craig and I had our first strategic session, that was before Charles was Chief Operating Officer. He was head of the surface operations and we still have various other mines, where we had very carefully plotted out a plan in respect of each and every one of our business components. And in those days, there was no Ergo; Crown was on a short lifespan, that we had to get the Top Star on line etcetera, etcetera.
 And even in those days, I remember Charles saying that if you want to keep this business going, we need to expand horizontal, we need to find another footprint to bring all of these available resources that nobody can fit other than us into a circuit, and that was after Anglo told us twice that they are not going to sell Ergo to us. We had to go and buy it as a salvage site and refurbish it eventually when I think they ran out of appetite.
 But this process then of slowly but surely evolving from a mixed bag, from a hybrid into a business that is focused solely on recycling, all of these available tonnages, and we are sitting on probably the biggest resource, or the biggest stockpile in the world when it comes to this type of material, accessible material, it wasn’t a slow process and every step of the way.
 We think we’re going to do something and certain things we do a little bit better than what we are going to do and other things we don’t do quite as well as we thought we were going to do. But it’s the process that has taken 6, 7 years to get to where we are now. And I’d tell you what, it’s only starting up now. I think only now do we have a platform from which we can start to be really intelligent in our thinking. We can be less defensive, more proactive. And I am hoping that these really expensive skill set that we have in our corporate office; in certain respects we’ve had to increase their budgets so we can get some more available resources online, and I see Jacob is smiling there because he knows exactly what I’m talking about, that will start opening up some news doors for us.
 We’re not going to be rushing into anything big though. For 7 years, we’ve capitalized this business. For the foreseeable future, probably not less than 2 years, but probably not running through three years, we would want to see if we can get this business as good as it could possibly be, relevance of the senior management structure on the board, relevance of the top management and operational executive, relevance of every single department and also how well, we manage the volume delivery and the metallurgy in this plant.
 And from that I think we could do something. I think it’s a very, very solid base from which we could work. 
Brendan Ryan: Brendan Ryan, Business Day. Niël, if I could just pick up on what you were saying, so for 2 to 3 years you’re going to fine tune this business, create a platform to show what it can do. Then you’re talking about future possibilities. Can you elaborate on what this future possibilities are please, so what are you looking and doing beyond in three years’ time? 
Daniël Pretorius: Yes. Brendan, look, I don’t think anybody else is really as well positioned to bring resources that we’d recognized as part of our resource base into an operating circuit, something because the CapEx of establishing something as the volume capacity to delivering to the required economies of scale. Those capital requirements are enormous. We bought this plant for R 40 million. I think we worked half now when we did this flotation circuit, the refurbishment of the flotation circuit that the saving just on what was already there, was it R 400 million, Charles? Just on the float circuit or R 300 million? It was roundabout there, but it was a lot of money.
 I mean you could express it as a double-digit percentage of market cap, just on the flotation circuit. And this is to give us the tiny little extra gold that could potentially open up these other resources which would otherwise are being non-paid. So that is a strategic advantage, but I think in so far as availability of infrastructure capacity is concerned and realistically taking a rubbish heap and turning it into a resource, something of value, before we -- I think take off and start conquering the world, we would like as a management team to see just exactly how far our fine-grind and flotation technology takes us.
 And we considered and it was obviously having the benefit of people that have been involved in this business now for almost since inception, we analyzed the head grade and tail grades of our various circuits over the last 30 years since it started and you could see relative stability on the tail grade and a declining head grade.
 So for us to continue to do what we’re doing now, there has to be a fundamental shift or a change in the relationship between those 2 drivers, those key drivers. And the only way that you’re going to be able to do that, because grades are not going go up anyway, is to drop that tail grade. And we don’t quite know exactly by how much it ultimately with all the various tweaks and changes and configurations, how much we’ll be able to drop that by, it could be a lot or it could only be marginal. If it’s only marginal, then you are probably looking at us sweating this asset as hard as we can and waiting for something else to happen to extend the life of mine.
 If it is as potentially successful as some of our test workers suggesting it might be, then it can open up a whole host of new opportunities, both in so far as existing resources are concerned but also in so far as different volume configurations are concerned, but we want to study that and we want to give ourselves time to study that. And we think that we’ve positioned ourselves adequately through what we’ve done up until now to actually have created an opportunity to study this in some detail, because remember there will be a saving of close to $300 million -- rather $30 million, R 285, R 300 million in CapEx, that is money that we don’t have to make next year, because we’ve done spending it over the last seven years.
 Our stay in business CapEx is relatively modest. I think our total CapEx for the year is only about R 150 million compared to R 385 million last year. So that in itself is placing a lesser demand on our revenue flows, on the amount of money that we’ve got to generate in order for us to stay in business and maintain margin. And then in addition to that, we have the offset -- early stage offset that we’ve see now before even having optimized and fully commissioned these circuits of being able to mine the lower grade, but yet maintain the same sort of recoveries.
 If you go through our presentations over the last few quarters, you have seen that we achieved roughly a 0.2 gram a tonne overall recovery with an increased number of higher grade resources or reserves being phased out coming to end of life, we will still be able to do that. So coming to the end of a very aggressive CapEx cycle and saving that money and having introduced a circuit that could maintain current extraction efficiency and current gold production as and when it kicks in, is for the last two quarters of the year hopefully, we should be back and maybe even higher than what we achieved in the previous quarters, then I think will give us that little bit of buffer.
 So we don’t have to take any irrational or panicking decisions. We want these decisions to really deliberate so that we can go back to the shareholders that have increasingly come on board and say to them, this is an intelligent way forward that we’re proposing and we want your mandate and maybe take a bit of CapEx from that. 
Brendan Ryan: So if I got, it’s about using the improvements in technology to make it profitable to retreat material that’s available that is not profitable at the moment? 
Daniël Pretorius: Yes, or that is marginal. Obviously we want to maintain the same sort of return. You’re not going to grow the business and give a similar return to more shareholders and increase your profile. You want to increase that return to the same number of shareholders or increase it for a greater number of shareholder so that you’ve got real growth in relative terms.
 So that’s essentially where I think we would be targeting, but we’re definitely not going to rush off and gone by all the dumps and increase our environmental expenditure just for maintaining good governance on these dumps for the stake of creating the impression that there is robust growth. There has been seven years of spending a lot of our shareholders money and now we’ve got something that I think can take us in to a phase where we could spend some quality time studying the best next move for DRDGOLD.
 But anyway we’ve put up charts to match the whole available surface resources around South Africa. What’s out there? What is potentially treatable? What could ultimately be feasible and viable, looking at our current collection or combination of technology and skills? And you know what? We don’t have to go anywhere else, because what we’re sitting on here is an enormous stockpile of material and a significant strategic advantage in the combination of these various components that we’ve managed to assemble over the last few years. 
Brendan Ryan: One more question, this one is for Charles. I’m not a metallurgist, and I followed your explanations closely as I could, but there seems to be a different version in your report where you say that the flotation circuit worked, the mills however were slow to get going, this meant we created a very rich concentrate, which resulted in a bottleneck at the mills, which meant that most of the gold and concentrates remained in concentrate. What exactly -- so it’s the mills that are not working and what exactly does that mean is my question? 
Charles Symons: Brendan I think what -- I think it really sums up in one word and that’s lock-up, is that your -- in general, I think the concentrate, you’re concentrating gold into reasonable portion of product, to see the 4% - 40% of the gold into 4% of the mass. Now there is a whole train of pieces of equipments, tanks, pumps, pipelines, the mills, the leach circuit, the CIP circuit. And at the time when we were writing up that report, we had the bottleneck around the milling circuit, okay? But what is -- all that’s happened is that you’ve got gold which normally would have come out in the smelters through the normal process, but now you have to full up this whole new circuit and that’s what basically what we call lock-up. 
Brendan Ryan: That is [Indiscernible]. 
Charles Symons: Yes. Well, it’s not gone. It’s there, but it comes out at the end. Yes. 
Unknown Analyst: I have two questions for Craig. I wondered if you’re going to remember that you had 2 more questions. Just firstly, you talked about cost inflation briefly in the report and you also alluded to I’d say consumables I think it was but -- which for me is more important, what is your sort of inflation for these consumables and what is it overall? What you’re experiencing on it now? And the second question, what have you thought further about your investment in Village Main Reef? Thanks. 
Craig Barnes: Okay. Our cost inflation is around about 10%. That’s just on price increases. So it doesn’t take into account, if there is an increase in volume, so that’s how inflationary price increase that we’re budgeting for this year. The recent wage settlement shouldn’t have an impact on it. We should still be sitting around about the 10% mark.
 Then, on the Village Main Reef shares, no, I think the board hasn’t made a final decision on whether we are going to look to disposing of those shares as yet. As you know, I think about 20 million of those shares are still in escrow, which we’re going to have to deal with going forward, but that decision hasn’t been made at this stage. I don’t know if you want to add anything. 
Daniël Pretorius: The idea is to maybe take advantage of if and when the gold price goes up, slight increase in the Village share price. I think there are certain -- steeply get to the gold price and then maybe looking at all floating at then, but at this stage, it’s not really in the way. 
Unknown Analyst: Those shares in escrow, is it a complication because of this liquidation and [indiscernible] going to? 
Daniël Pretorius: It was as a consequence of the… 
Craig Barnes: Ministerial consent. 
Daniël Pretorius: The ministerial consent having been delayed because of the fact that the conversion of the mining rights didn’t go through. There was an attempt to convert the mining rights for a period of only 1 year, which was odd, and Village Main Reef management at the time thought that they were not going to execute, they will wait until they will get a more sensible extension. And there is talk at the moment that the conversion might actually take place now while it’s in provisional liquidation because then the business components that are being offered for sale could be sold within a far titled to the mining asset attached to it.
 So that process is still ongoing. And we’re certainly not forcing it. I think -- Marius has enough to deal with as it is, managing his way through the provisional liquidation process which I must admit or I must remark he has done a really good job at managing. And once it’s settled down, we will take up the discussion with him again and see where we take it, where are we going to go with it. 
Unknown Analyst: And are you exposing potential liability? 
Daniël Pretorius: No, we’re not. We’re not providing for a potential liability, nor does it seem at this stage as there is any - as if there is any expectation on the part of any party at this to call on DRD, for any kind of liability. What we did do though was, the Blyvoor employees were still beneficiaries of our employee trust and we had arranged with those beneficiaries, with those trustees for the distribution of a special dividend to alleviate somehow, there was a special dividend out of savings of the trust itself as part of an exit of those employees as a group of beneficiaries. But there is not a liability really, that is a distribution that was due, and which we managed to accelerate through discussion in order to alleviate some [indiscernible]. 
Craig Barnes: Just to explain this, trust falls outside of our group structure. It’s a separate entity on its own. 
Daniël Pretorius: Is that it? Okay. Well, thank you very much everybody. We’ll be hanging around for a few minutes. If there are any further questions, please feel free to come and chat with us.